Operator: Hello, and welcome, everyone to the Lemonade Q1 2025 Earnings Call. My name is Maxine, and I'll be coordinating the call today. [Operator Instructions] I will now hand over to the Lemonade team to begin. Please go ahead.
Natalie Wilson: Good morning, and welcome to Lemonade's first quarter 2025 earnings call. Joining us on our call today, we have Daniel Schreiber, CEO and Co-Founder; Michal Langer, Chief Product Officer and Leader of our Car Business; and Tim Bixby, Chief Financial Officer. A letter to shareholders covering the company's first quarter 2025 financial results is available on our Investor Relations website at lemonade.com/investor. I would like to remind you that management's remarks made on this call may contain forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Actual results may differ materially from those indicated by these forward-looking statements as a result of various important factors, including those discussed in the risk factors section of our form 10-K filed with the SEC on February 26, 2025, and our other filings with the SEC. Any forward-looking statements made on this call represent our views only as of today, and we undertake no obligation to update them. We will be referring to certain non-GAAP financial measures on today's call, including adjusted EBITDA, adjusted free cash flow, and adjusted gross profit, which we believe may be important to investors to assess our operating performance. Reconciliations of our non-GAAP financial measures to the most directly comparable GAAP financial measures are included in our Letter to Shareholders. Letter to Shareholders also includes information about our key performance indicators, including customers, enforced premium, premium per customer, annual retention, gross earned premium, gross loss ratio, gross loss ratio, ex-CAT, trailing 12 months loss ratio, and net loss ratio, and a definition of each metric, why each is useful to investors, and how we use each to monitor and manage our business. With that, I'll turn the call over to Daniel for some opening remarks.
Daniel Schreiber: Good morning, and thank you for joining us to discuss Lemonade's results for Q1 2025. It's a pleasure to report that across all of our key metrics, our financial performance in the first quarter was strong, and that everything in the business is progressing very much to plan. At 27% year-on-year growth, Q1 was a sixth consecutive quarter of accelerating top-line growth. Perhaps more notably, with the exception of our growth spend, we've seen no material corresponding rise in our expense base. Quite the contrary, in real terms excluding growth spend in the past 10 quarters we have seen a decline in our expenses, while the book has increased by more than 65%. When you see a top line surging by two-thirds even as fixed costs stay flat or fall, what you're seeing is AI hard at work. For us, AI was never a fashionable acronym to roll out on earning calls. It's always been core to our culture, to our differentiation, and to our strategy, and its power is increasingly apparent in our P&L. We expect this dynamic to persist, with the growth of our gross profit far outpacing the growth of our fixed costs. This is why we're comfortable reiterating our expectation of achieving EBITDA breakeven by the end of next year, now just a few quarters away. We are also reiterating our EBITDA guidance for this year and modestly raising our expectations for gross earned premium and revenue. We also reiterate our expectation of generating positive, adjusted free cash flow in 2025 despite the unfavorable impact of the California wildfires in the first quarter. Speaking of the California wildfires, their impact on our Q1 results was notable, contributing 16%age points to our gross loss ratio. Even with that impact, our trailing 12-month gross loss ratio remains stable and in line with our target range at 73%, while adjusted gross profit actually improved 25% year-on-year. That I think speaks both volumes to the quality of our book and resilience of our business. We're closely monitoring the evolving tariff environment, particularly for imported auto parts. A headline 25% tariff on auto parts should it endure, would likely increase loss trends in that category by single digit percentage points, which we would endeavor to reflect in our rates as soon as possible in order to maintain stable loss ratios. Finally, you may have noticed that we changed the timing of our shareholder letter to align more closely with common practice. We've also refreshed our investor website, so pop over to investor.lemonade.com or lemanet.com/investor and check it out. In the same vein, we're also going to mix things up a little on the call and try to bring in a wider array of voices from the management team. And to kick this off, as Shai is taking a well-earned vacation with his family, he has asked Michal Langer to update you on our car business. Michal is both our Chief Product Officer and the Executive leading our Car Business. And so her contribution and perspective is central to everything that we do at Lemonade. Michal?
Michal Langer: Thanks, Daniel. Lemonade Car continued to build momentum this quarter. And for the first time, its quarter-over-quarter IFP growth outpaced the rest of the business. That's a key milestone and one that signals the engine is starting to rev. There are two elements that we consider are unique differentiators. First, our LTV and telematics models, which give us a unique ability to find and price ideal customers. This is true especially for safe younger drivers, who other insurance routinely overcharge relying on blunt age-based risk buckets. With industry-leading telematics adoption and a continuous lifetime flow of driving data for each customer, we can fine-tune pricing and automate processes with unrivaled precision. Second, we've got a large untapped growth pool, nearly 2.5 million non-car customers who together spend north of $3 billion annually on auto insurance. We're turning those advantages into impact through product development and geographic expansion. We've been running a series of experiments on what we're calling day zero telematics, and have seen conversion rates jump by over 60% in the past few months. Cross-sell is improving too. We've optimized our bundling flows leading to more than doubling our cross-sales volume year-over-year. Geographically, we launched Colorado this quarter, pushing us past 40% coverage of the US auto market and to nearly 60% of our existing customer base. With more states coming, prioritized by profitability and fit. As always, growth comes with discipline. Cars' gross ratio is still elevated, not unexpected for a young book. But older cohorts are seasoning nicely, which gives us confidence in the model. We typically see a double digit loss ratio improvement as new cohorts pass the renewal date. This dynamic is worth underlining. Short-lived spikes in loss ratios associated with the new business penalty, a well-understood phenomena, can send a false signal about the lifetime profitability of new business. And so, we routinely look past these in preference of the predicted lifetime loss ratio. So while we still have a lot of work to do this year and plan significant rollouts and improvements in the coming quarters, Lemonade Car is already gaining speed and boosting our confidence that Car will increasingly drive our growth. I'll now hand the call over to Tim, who will speak to our financial performance and outlook. Tim?
Tim Bixby: Great. Thanks, Michal. I'll review highlights of our Q1 results and provide our expectations for Q2 and the full year 2025, and then we'll take some questions. In short, our Q1 financial results were very solid, and our experience with regard to the California wildfires proved out our conservative underwriting approach, a healthy product mix, and the protection afforded by a thoughtful reinsurance strategy. In force premium grew 27% to just above $1 billion, while customer count increased by 21% to $2.5 million. Premium per customer increased 4% versus the prior year to $396, driven primarily by rate increases. Annual retention, or ADR, was 84%, a 4% decrease since this time last year, and down slightly versus 86% in the prior quarter. In broad strokes, we saw an unfavorable impact to ADR from our continuing effort to improve the profitability of our home book of about 4 points, about 2 points unfavorable from our pay per-mile car product, and about 2 points favorable from the rest of the book. We expect ADR to normalize and resume improvement over the coming quarters. Gross earned premium in Q1 increased 24% as compared to the prior year to $234 million, in line with IFP growth. Revenue in Q1 increased 27% from the prior year to $151 million. The growth in revenue was driven by the increase in gross earned premium, a slightly higher effective seating commission rate under our quota share reinsurance, and a 26% increase in investment income. Our gross loss ratio was 78% for Q1, as compared to 79% in Q1, 2024 and 63% in Q4, 2024. Excluding the total impact of CATs in Q1, which was roughly 19 percentage points, our gross loss ratio ex-CAT was 59%. Total gross prior period development had a roughly 8% favorable impact, with a negligible portion of that driven by CAT. We saw this favorable prior period development across all products, with the exception of pet, with the largest impact in our homeowners' multi-apparel business. On a net basis, prior period development had a roughly 10% favorable impact, of which 1% was from CAT. Trailing 12 months or TTM loss ratio was about 73%, or 10 points better year-on-year and stable sequentially. All of these insurance metrics and more are included in our insurance supplement that you'll find at the end of our shareholder letter. Gross profit increased 11% as compared to the prior year, driven primarily by premium growth offset by the California FAIR plan impact, while adjusted gross profit increased 25%, driven primarily by premium growth. Operating expenses, excluding loss and loss adjustment expense, increased 29% to $127 million in Q1 as compared to the prior year, driven primarily by an increase in growth spend and the impact of the FAIR plan Assessment. Other insurance expense grew 51% in Q1 versus the prior year, driven primarily by the impact of the FAIR plan assessment. Total sales and marketing expense increased by $13 million or 42% primarily due to increased growth spend of approximately $18 million, offset by a stock compensation benefit related to the Chewy warrant termination. Total growth spend in the quarter was $38 million, nearly double the $20 million in the prior year quarter. We continue to utilize our synthetic agents growth funding program and have continued to finance 80% of our growth spend. As a reminder you'll see a 100% of our growth spend flow through the P&L as always while the impact of the growth mechanism is visible on the cash flow statement and the balance sheet. And the net financing to date is $102 million as of the end of the quarter. Technology development expense was up just 5% year-on-year to $22 million, while G&A expense increased 20% as compared to the prior year to $36 million, primarily due to the growth in interest expense from our financing agreement. Personnel expense and headcount control continue to be a high priority, and total headcount is up just slightly, about 2% as compared to the prior year at $1,260, while the top line IFP, as a reminder, grew fully 27%. Net loss was $62 million in Q1, or a loss of $0.86 per share as compared to a net loss of $47 million or a $0.67 per share loss in the prior year. Adjusted EBITDA loss was $47 million in Q1 versus $34 million EBITDA loss in the prior year. Our total cash, cash equivalents and investments ended the quarter at approximately $996 million, up $69 million versus Q1 of last year, and down $25 million versus the prior quarter, primarily driven by the impact of the wildfires. With these metrics in mind, I'll outline our specific financial expectations for the second quarter and for the full year 2025. From a growth spend perspective, we expect to invest roughly $45 million in Q2 to generate profitable customers with a healthy lifetime value. This amount will likely increase slightly in Q3 and then may decline somewhat in Q4 to a level similar to the Q1 growth spend rate, totaling roughly $170 million for the year. This expected quarterly spend pattern is fairly similar to prior years. For the second quarter of 2025, we expect in force premium at June 30 of between $1.061 billion and $1.064 billion. Gross earned premium between $246 million and $248 million. Revenue between $157 million and $159 million. And an adjusted EBITDA loss of between $44 million and $41 million, stock-based compensation expense of approximately $16 million, and a weighted average share count of approximately 73 million shares. For the full year 2025, we expect in force premium at December 31 of between $1.203 billion and $1.208 billion. Gross earned premium of between $1.028 billion and $1.031 billion. Revenue between $661 million and $663 million. And adjusted EBITDA loss of between $140 million and $135 million. Stock-based compensation expense of approximately $60 million, and a weighted average share count of approximately 74 million shares. And with that, I would like to hand things back over to Daniel to answer some questions from our retail investors. Daniel?
A - Daniel Schreiber: Thanks Tim and we'll start with questions from the SAY platform, retail investor questions. And [Taufik] (ph) asks about our EBITDA losses, which have been narrowing and asks that we elaborate on the timeline for reaching EBITDA profitability and what levers will drive this. So thanks for that question, Taufik, and happy to delay on this for a moment. We've been guiding to adjusted EBITDA breakeven by year's end 2026 since the very first Investor Day, back in 2022. We reiterated that guidance in our 2024 Investor Day and we continue to reiterate our expectation to be adjusted EBITDA positive by Q4 of next year, with 2027 being our first full year of positive adjusted EBITDA. Unchanging message across the years, I think, speaks to the grounded nature of our multi-year plan and to the execution that has consistently delivered a plan. The business is doing exactly what we expected it to do all along. And in important ways you can set your watch to it and that's because the clockwork here is pretty simple. As we continue to grow the business, we generate ever more gross profit. And at the same time, thanks to AI, we're seeing no commensurate increase in our fixed costs. And so, with every turn of the flywheel, gross profit comes closer and closer to eclipsing operating costs. And that means that the business is getting closer and closer to profitability. This progression has proven reasonably predictable, and we have a fairly good handle on its levers, giving us confidence that we're only a few quarters from crossing that all important line. Also remember that our underlying business is already profitable. Last quarter we disclosed that if we had opted not to spend on growth, the quarter would have been EBITDA profitable and as it is 2024 was cash flow positive, a reliable precursor to EBITDA profitability, particularly given the dynamics, the cash flow dynamics in the insurance space. I encourage you to have a look at Page 4 in our Shareholder Letter. And I think you will see that highlight and give some visuals to the trajectories that I just touched on. The next question comes from [Paperbag] (ph), who's asking about cross sales, particularly to Car, and what rates we can expect to see in the coming years. So Paperbag, thanks for that. Certainly a central area of focus over the coming months and quarters in years. Zooming out to a multi-year view, our ambition is to drive to industry-leading, multi-line customer rates. So large incumbents typically see levels in the 30s and 40s. I think maybe some of the direct players are in the mid-20s. And so, it's a major opportunity for us with our existing customer spending probably over $3 billion on car insurance. We certainly expect to be tapping into that and to continue to do that as our install base of customers grows. I think it's reasonable to assume that we can approach the multi-line customer levels in the teens on a five-year horizon and ultimately to reach parity with the rest of the industry. And you've got the models to show just how impactful that would be in our business. But it's important to clarify that a model is not dependent on this acceleration. And indeed, crosses -- in our modeling, we cross EBITDA and net income breakeven, while multi-line customer rates are expected still to be in the single digits. So we think we'll be profitable in the high single digits, even though we think that in the years following, we'll go into the teens and ultimately into the 20s as well. The biggest driver of cross-sell acceleration are state coverage expansions and leveraging telematics insight offer and beatable prices to the best drivers. If we isolate specific states where we have a full suite of products available, we already see multi-line rates that are nearly double the 5% level that we're seeing across the book at the moment, so closer to 10%. So that gives us confidence that in the coming years we'll be able to replicate that everywhere. Cross-sales have another impact that dovetails nicely to Taufik's question. Overtime, as cross-sales ramp up, CAC-free growth is a powerful lever that benefits our profitability trajectory by allowing us to moderate the growth spend, which would otherwise be required in order to sustain a target of 30 plus on CAGA. Thanks for that question. [Cyber Cat] (ph) asked about the tariffs and the geopolitical tension and whether that will impact on our expectation of being in the 30s in terms of CAGR, how much confidence we have not withstanding that. And I think I touched on this a bit already in my opening remarks, but our business has proven highly resilient in the past few years. So based on everything we know today about shifting microenvironments, I am pleased to reiterate our 30 plus percent growth in 2026 and beyond. Our sector is inherently resilient, fairly recession proof, and not inherently exposed to global trade, certainly much lesser than many, many sectors. So the one thing that we do need to monitor is inflation, and we're keeping a close eye on that because that has, and if it resurge would again impact our business. Our business is also though pretty diversified these days, both across products and geographies, not all of which are impacted by tariffs. So auto parts is the obvious place to look, but in pet insurance and renters insurance and home insurance and certainly our European business, which is growing at quite a clip. Those remain largely immune even to that. Okay. And with that, I'll pass the mic back over to the moderator and we'll take some questions from the street.
Operator: Thank you. [Operator Instructions] Our first question today comes from Jack Matten from BMO. Please go ahead, Jack. Your line is now open.
Jack Matten: Good morning. Just one on the subrogation benefit that you recorded from the California wildfires. Any other code you can provide on that? Did you sell your subrogation rights? Or is there the potential for additional recoveries in common quarters?
Daniel Schreiber: Sure, good morning. So the, the Subro was reasonably interesting. If you look at the general impact of the California fires, there were primarily two events, two major events, the Palisades fire and the Eaton fire. The Subro market and opportunity for us was much more distinct for the Eaton fire as it was for many other fires. And so we did sell those rights at a pretty healthy ratio. And you'll see that in the detailed disclosures, something on the order of $8 million impact there. There is an opportunity to recover more over time. If the losses exceed a certain percent, for example, in the Palisades fire, there is some opportunity. But I would expect that a substantial amount of the subrogation is already represented in the numbers.
Jack Matten: Got it. Thank you. And then maybe just one on the FAIR plan assessment in California. It's not made a plan to recoup any of that with rate increases or supplemental fees. I think insurers are able to request to recruit half of the initial assessment. So just wondering how you're thinking about that.
Daniel Schreiber: The plan is yes. We do expect to recoup over time. There are a number of rules and requirements around how you do go about that. And there's also potential customer impact that we're thoughtful about. But we are proceeding as if we'll be able to endeavor to recover as much as is allowed, which is a 50% limit. And some will come in year one, but there's really a two year period over which all of this will be fully resolved. So we will proceed full speed ahead and look to recover all of that.
Jack Matten: Thank you.
Operator: Thank you. The next question comes from Jason Helfstein from Oppenheimer. Please go ahead. Your line is now open.
Jason Helfstein: Thanks, guys. A few questions. One, can you give us the impact on the wildfires on gross profit in the quarter? So it's housekeeping. Then on the tariff question, obviously, I saw your commentary. So just, are you assuming any impact in the full year? God, is there any conservatism or kind of you're just kind of trending the business as is and we'll have to adjust as we go? And then maybe give us a little more detail on Car, which states will be -- you highlighted Colorado, but over the next 12 months, which states will be biggest for you and where should we pay attention? Thank you.
Tim Bixby: Sure, so maybe I'll take the first two California and on the tariff impact and I'll turn it to Daniel maybe on some of the Car thoughts. So there's a nice little table in the letter from today that I would point everyone to that breaks down the California wildfire impact as best we could within the disclosure restrictions. And you'll see a line item there that goes from a top line to a bottom line impact essentially. And it lines up quite nicely with what our estimate was when we gave our prior guidance. Our initial estimate was about a $45 million gross impact that turned out to be about $44 million. So right in line, we estimated the EBITDA impact, which was also at the time the net loss or net operating loss impact of about $20 million that came in at about $22 million negative impact. And then I've added to that to get to the true eventual net income impact is the California FAIR Plan assessment amount, which is also detailed in that table. We were not aware of that, of course, at the time, because it had not been issued yet. So I think from a gross profit impact, I would look at that. Total net income is probably the best proxy, but the detail is there in the letter. From the tariff expectation or impact, we did reiterate our fuller guidance for growth. We actually upped a couple of our key metrics below the top line. Partly to take account of the better than expectation result in Q1. Tariffs are a bit tricky to understate what we're all kind of living through. Good reminder though is that, obviously, the tariff structure has been a little bit volatile and is likely to change or could potentially change. Nevertheless, a tariff for example on car parts or cars in general of say 25%, by the time it kind of works its way through the math, the percent of claims affected, the percent of your business that's domestic versus foreign, and a number of other numbers. You get from a headline number of 25% down to typically single digit impacts, which is not zero. And so we are able to reiterate our growth metrics, assuming that there is a modest headwind but that's an inflation impact that we have typically take into account. We'll adjust that as we go, but we're quite comfortable with where we are now based on what we know now for the full year and we'll come back in three months and update that. I don't know Daniel did you have any maybe some thoughts to add on the car front?
Daniel Schreiber: Yes, gladly. Hi Jason, good morning. So you asked why to pay attention on car and the geographic expansion. I definitely would encourage you to pay attention, we certainly are paying very close attention to car in the preceding and coming quarters. We've spoken in the past about the kind of, I use the term I think tinkering that we're doing, but in this week's, -- sorry, today's letter, we put some numbers to what that tinkering is yielding, 60% increase in conversion, 100% increase in cross-sales over recent quarters. So we're certainly seeing a very strong ROI from all the experimentation that we're doing. And we do want to continue some of these. We've still got quite a few irons in the fire, and we'll work through those in the coming months and quarters in order to continue to refine the proposition. The true growth in car is already growing. It's accelerating. We spoke about how it is now outpacing for the first time the rest of our business this quarter, but I think we will put full pedal to the metal and all the other car related euphemisms and jokes once we complete a few more of the experiments that we have running. We are kind of walking and chewing gum, so in parallel to doing that, we are also expanding geographically. We are still, after the Colorado launch, only available to 40% of the nation's customers. So there's a lot of headroom there and we will do both together. We are not ready to start naming states or dates or announce them as we go. But I think if you ask me about where the focus is, our focus is on the first part of that equation, rather than on the geographic expansion, which will flow naturally after we feel the confidence that we are readily gaining.
Jason Helfstein: Thank you.
Tim Bixby: And Jason, just one clarification on my comments around gross profit were all germane to GAAP gross profit. We also have an adjusted gross profit number which would be slightly different due to its definition. It would exclude the impact of the FARE plan, so that would result in a modest difference in terms of the impact of the fires overall.
Operator: Thank you. The next question comes from Bob Huang from Morgan Stanley. Please go ahead Bob, your line is now open.
Bob Huang: Good morning. So maybe the first one is on the Car business. I think one thing you mentioned is that, lifetime loss ratio should be better than the current loss ratio, just given that once they start to renew, the LTV equation really should pick up. Can you maybe help us think about how we should assume a retention rate for your current cohort of business in the Car side? And also, what's kind of the driver for that retention rate?
Tim Bixby: So I would think of the retention rate generally as in line with the rest of our business, but adjusted for a couple of nuances. The Car business has gone from basically a flat or no growth suspend approach to flattening and now growing. And so by definition, when you grow at a more rapid pace, it grew more rapid than in the overall book, you're typically going to see what we would call a new business penalty where the short-term retention aspects and the loss ratio experience is going to be slightly worse than you would expect over the lifetime. And so for some time as we increase and accelerate the investment there, you'll continue to see somewhat lower or worse short-term retention rates on Car than you might get otherwise. On the other hand, you see a pretty consistent uptick or improvement at renewal. So Car policies renew at six months, as you know, versus 12. And at six months we typically see something on the order of a double digit 10 percentage improvement in terms of the loss ratio, and also some improvement in retention rates. And so, I think you'll see this normalized as we have with our other more mature products as the Car growth acceleration continues into the later part of this year into next year. We don't disclose exact retention rates by product and so I'm kind of unable to go too much further into it there but that's generally how we think about the business.
Bob Huang: Okay, so that's another [Multiple Speakers]
Tim Bixby: [Multiple Speakers] cross sales probably just as a note or something that's quite important to this. As the customer count grows, as we expand our cross-sales, and we saw a pretty very solid uptake in the quantity of cross-sells in Q1. That's a dynamic that helps overall retention generally. And so that's another sort of a tailwind that we'll see move us in the right direction, especially as Car grows as a proportion of the business.
Bob Huang: Okay, got it. No, that's very helpful. It does sound like once you bundle the product and cross-sell that the retention rate should be relatively higher than industry. At least that's what I thought. So maybe like moving on to the second question, you touched on this a little bit, like regarding full-year guidance, right? Like you beat earnings by higher than what you're moving up the full-year guidance. It does sound like it's because of the tariff unknowns and things of that nature. Is it fair to assume that if tariff comes in below that 25% assumption that you have, your full year adjusted EBITDA should actually be reasonably higher than what you're guiding to? Is the guidance not moving as much as the first quarter beat, it's just purely a function of conservatism?
Daniel Schreiber: I think I would not recommend we isolate tariffs as the sole driver. It's just one of many drivers in terms of things that are more certain or less certain for our trajectory. One quarter into the year doesn't give you too much information about Q3 and Q4. And so, this is a time where if you look back last year and the year before, historically, we've been moderately cautious about what we see in the back half of the year. That fundamentally changes when you report Q2, because you're into Q3 and you've got a majority of the information for the year. So if tariffs disappear, go to zero, certainly that would be a benefit. But it's not a binary thing where that's the only risk in the business. So I'd say we approach our guidance very much as we have in the last several quarters, which is very close to or exactly what we expect to happen with some bit of conservativeness around the things where we have high uncertainty. And there are things that can go the other way. So I'd say it's very balanced as it has been for several quarters.
Daniel Schreiber: Let me just to add -- just to add that our revenue guide was raised commensurate with our Q1 beat, but Q1 EBITDA came in very much to plan, so we are reiterating there was no significant beat there. So I think you'll see we're being fairly consistent.
Bob Huang: Okay, thanks. Really appreciate it.
Operator: Thank you. The next question comes from Andrew Kligerman from TD Security. Please go ahead Andrew. Your line is now open.
Andrew Kligerman: Hey, thank you and good morning. So you talked a little bit on the call about a higher growth spend for customer acquisitions. I'm kind of curious, in the components of that, the change in online ad spending, has pricing gone up? Could you give a little color around how pricing is in your ad spend? And then secondly, maybe a little color possibly on where you advertise online. Where do you play most?
Tim Bixby: Sure. So, a couple thoughts there. I would say broad strokes, no real change in overall costs. So we're seeing a similar level of efficiency compared to the prior quarters or the prior year. And the mix of channels, I would say, changes, but probably in the long tail. So if you rank the distribution channels from high to low, you'd see some of the similar names you've seen for some time that you recognize, TikTok and YouTube and Podcasts and kind of the usual suspects, but that long tail does change quite a bit. And that's really where our growth team, earns their keep in some ways is they're able to find and leverage and manage those channels that are less well known to find the new ones that are much more productive and to maybe beam some of the others that are less so. And so that does tend to change quite a bit. That's the human side. I mean, on the flip side, we have an AI LTV model that functions in real time to manage all this and evaluate the expected lifetime value of each of those customers in real time. And so, the combination of those is what gives us a real consistency in the overall efficiency. But yes, if you looked under the hood, you'd see a fair amount of change. We're optimizing the channel, we're optimizing by geography, we're optimizing by product. And so, under the covers, there's a fair amount of change. From an overall perspective, there's a slight change, I would call it, in how we allocate the total. So you've probably -- if you've been out and about a bit in key metro areas in the U.S. primarily, you're going to see Lemonade in the brand spend world in public, whether it's on a billboard or on the subway or public in different places where that's a little more lean in this year, particularly this part of the year, Q1, Q2, Q3, you'll see more of that. That's embedded in our growth spend numbers and that's typically more of a longer term investment. You don't always get a return the next day like you do online, but we believe it's really the right time to push that number. It's relatively modest in dollar terms, but you're going to see more of that in public. So those are kind of the highlights on the brand spend and the ad spend.
Andrew Kligerman: Thanks for that. Yes, that was very helpful. And maybe earlier, Daniel was commenting that with AI, there's no commensurate increase in fixed cost. And as I think about AI and Lemonade, and still even with 2.5 million customers, some of these other carriers are dramatically bigger in terms of the data that they have. Do you think, or maybe you could talk a little bit about the playing field and whether your AI has leveled it or maybe you're even ahead of competition in utilizing data and analytics?
Daniel Schreiber: Sure Bob. Companies in our space are not ones to share exactly what they're doing behind the scenes. So there's an element of kind of speculation, if you like, in what I'm going to say. But I have said on multiple occasions that already now, prior to our 10th anniversary, I don't think there is a carrier in the United States that we would trade data sets with. And the others have been around for often times, most times close to or more than a century. So it's not that they don't have more data than we do, they certainly do. But when you have the digital infrastructure that we have, you're able to connect dots in a way that is far more meaningful. I remember one person, one of the incumbent telling me that the number one cause of loss in their system is other. And they suffer from a tremendous kind of garbage in, garbage out kind of situation. Ajit Jain spoke a couple of years ago about Geico having 600 systems that don't talk to one another. So it's not mere tonnage of data or how many years you've been in operation. It's really about what kind of systems you've built in order to collate high quality, actionable data, and then what systems you've built in order to act upon them. And when you are selling insurance using AI, that in real time can use all of the signals that we have. And Tim alluded to this in his answer to your question, right down to do I want this customer? How much am I projecting them to be worth over their lifetime? How much would I invest upon them? To the best of my knowledge, there isn't another carrier in the nation, perhaps in the world that has that kind of capability. I think going forward, this compounds. Talking just yesterday at the annual general meeting, again, Ajit Jain, who runs insurance over at Berkshire Hathaway, said that they're really going to take a wait and see approach to AI. The direct quote is, individual insurance operations do dabble in AI, but we have not yet made a conscious big time effort in this. And he says that they're going to be in a state of readiness. Warren Buffett added that he wouldn't trade all the AI of the next 10 years for one Ajit. And of course, that perspective is well respected, but it's dramatically different to our own. We are all in on AI and digital systems. We do think that ultimate competitive advantage is rooted in that, in our ability to quantify risk, AI's ability to quantify risk, delight consumers, and crush costs. And that is a pure facet of AI. And it is now moving from being a hypothesis that we've been chatting from the rooftops to something readily visible in our results. We spoke earlier about 10 quarters during which our real underlying cost structures have declined, even as our book has come close to doubling. And I think that that is already concrete, financially powerful evidence of this AI in practice. That kind of operating leverage is, I believe, impossible without the kind of infrastructure that we have in place, and I believe others do not.
Andrew Kligerman: I think absolutely Ajit AI is an amazing strategy. And if I could sneak one more in, you highlighted 29 rate filings in 2024, and then already 2024 in the first quarter of 2025. What are -- maybe just the part A of it is, where are rates going right now in that book? Like, were they up? Any detail on where rates went in the quarter net would be of interest. And I assume these telematics are on your existing car customers so that you're kind of seeing how they're driving and what's happening and that's why you're able to file so quickly, maybe just a little more color on that.
Daniel Schreiber: Sure, and it's very much along the lines that you are outlining there, which is to say, we're not predominantly now focused on rate adequacy. In other words, we've got the rates that we need in order to -- at a book level for everything to make sense and mature customers are at kind of target loss ratio. So we're feeling pretty good about that. The tinkering that I keep talking about earlier is about playing with all the levers and all the data that we get in in order to become ever more precise at matching individual behaviors to rate, and constantly refining those, refining them, seeing the results, acting on those results, filing again. So this is really about refining the precision of our pricing in order to be able to get to the right customer with the right price. That impacts everything, conversion, retention, profitability. That is kind of where the whole thing comes together. We're seeing rapid progress. We spoke about some of those numbers earlier, but those are what those 2024 filings are there to do and we'll be doing a lot more of that in the coming months as well.
Tim Bixby: And in terms of the overall growth -- in terms of the overall growth profile, there's been a fairly consistent trend that while we're adding a very healthy number of customers somewhere on the order of two-thirds of our growth, let's say, in recent quarters and in Q1, growth in IFP comes from adding new customers. That means a substantial minority. The other third comes from primarily rate increases, also upsells and cross-sells, but rate increases, and that's a theme we've seen over time where anywhere from 20% to a third of our growth continues to come from rate increases and cross-sells and upsells. So that's been a fairly consistent team. When you see us heading towards 30% plus growth, we would assume that those themes will continue. We'll continue to add a significant number of customers, more than a majority of that growth will come from adding customers, but that the ability to grow over time from our existing customers will continue to increase over time.
Andrew Kligerman: Thanks, appreciate it.
Operator: Thank you. The next question comes from Katie Sakys from Autonomous Research. Please go ahead. Your line is now open.
Katie Sakys: Thank you. Good morning. I want to circle back to the IFP guide, which for the full year looks like it hasn't changed despite significantly better than expected results this quarter. I was wondering if you guys could walk us through a thinking there and any time in consideration to keep in mind as the year progresses. And then sort of as an addendum, how much of the 28% growth that you guys are guiding to for the full year is expected to come from the Car product?
Tim Bixby: Sure. So in terms of the overall growth in IFP is really the best measure, most direct measure of that. We grow at a pace of our own choosing. And so, while there's some range around the pace of growth, the amount of dollars we spend and the pace at which we spend it really drives that growth number. So our strategy for the remainder of the year takes into account what happened in Q1. So we've acknowledged the fact that we performed somewhat better on certain metrics. But despite our disclosures around the California wildfires as being separate and different and unique, all of which it was, it's part of the business. And it was a cash use. We have to manage that business. We're managing the top line. We're managing the bottom line. We were able to reiterate that we will be EBITDA break even at the end of next year, which is a date that hasn't moved since we started speaking about it a few years ago. And so we're managing all of those things and still on track to accelerate the top line growth rate. We could grow faster, this has been true for a very long time, but growing faster would change the dynamics of the rest of the P&L. And so we approach it in sort of a balanced way. So we don't just roll forward the first quarter, but we do take into account the results of the first quarter.
Katie Sakys: And on the car piece, how much of the full year growth are you guys currently expecting will come from car?
Tim Bixby: So we haven't put out a specific number for good reasons. One is, we're very opportunistic in our LTV models tell us where to go and how fast to go and when to really push the accelerator. But within reason I would expect a similar dynamic as we saw in Q1 to continue, which is that cars expected to grow at a faster pace than the rest of the book. And we expect that to continue for quite some time. And if everything stays on track as we expected, I would expect that pace to even accelerate. But I would expect the themes you saw in Q1 to continue throughout the rest of the year.
Katie Sakys: Got it. Okay. And then if I can just sneak in one more. On the retention ratio this quarter, I think that the slip down to 84% makes sense given you guys are still working on remixing out of some of those more CAT exposed geographies, but it is much lower than we've seen for quite some time. And it's the lowest we've seen since you started messaging the non-renewals. So I'm just curious, is this sort of a bottom on the retention ratio, or should we expect that to continue to decline some over the next couple of quarters? And then as we think about retention going forward, how long does it take for you guys to start to see improvements to the bottom line after non-renewing a cohort of customers in a given quarter?
Tim Bixby: So on the ADR, annual dollar retention is a good metric, but it is a double-edged sword. It takes into account the entire business. And we feel it's better to have that metric, to share the metric that we look at internally, publicly, and that metric can move for a number of reasons. Our efforts to improve the profitability of the overall book had a significant impact on that number and that's a strategy that we've followed for some time and taken into account. Part of the reason we broke that out is so you can see that absent those efforts, the underlying rest -- remaining parts of the book of business show that continuing positive trend which is what we would expect. As to whether at the bottom, it's hard to project that number with exact precision. But I would expect that it could be flat. It wouldn't surprise me if it were flat at this level for some time as we continue these efforts. I wouldn't expect it to show a significant additional deterioration, but it is a tougher one to project out too far with precision. And on the other side of the coin, our clean the book efforts really kind of came home in a great way in the California wildfire example. Several millions of dollars, double-digit millions of dollars of benefit that we would otherwise seen as losses did not occur because of our efforts over time to clean the book. It's something you kind of track and make sure that the efforts we're making to improve profitability are actually resulting in dollars. And this was a hard example in the first quarter where we saw that actually came true. So, balancing a lot of things, but ADR should over time continue its trajectory.
Katie Sakys: Got it. Thank you.
Tim Bixby: Thank you.
Daniel Schreiber: Thanks, Katie.
Operator: Thank you. The next question comes from Matthew O'Neill from FT Partners. Please go ahead, Matthew. Your line is now open.
Unidentified Analyst: Hey there, this is Zach on form. Thanks for taking the question. I just wanted to ask quickly about, you talked about incorporating telematics earlier at near point of sale and now when you've done this you've seen the 60% boost in conversion rates. I guess my question is, how widely rolled out is this and what's the kind of gate limiting factor right now and pushing that out more broadly? Thanks.
Daniel Schreiber: Hey Zach. Yes, it's not very broadly rolled out and we -- the trajectory that we're seeing, we kind of gave you a snapshot of that 60% number, we're not done with that. We think with every experiment we're learning more things, and then we move on to the next AP test. So I think there's quite a lot of leg still in a lot of those experiments. So we're not yet focused on massive rollout. I kind of alluded to this in an earlier question as well. We're much more focused on fine-tuning and getting this all right and ready for what we perceive to be prime time and the opportunity that's ahead. So it's in a few states where we can iterate relatively quickly, file in new states where regulators are favorably disposed to quick turns of filings and experimentation. It will roll out more uniformly across all of our states once we feel we've reached a certain stable point. We're not quite there yet.
Operator: Matthew, your line is still open.
Unidentified Analyst: That's all for me. Thank you.
Operator: Thank you. The next question and our final question today comes from Tommy McJoynt from KBW. Please go ahead, Tommy. Your line is now open.
Tommy McJoynt - KBW: Hey, good morning, guys. It definitely sounds like the cross-sale opportunities is very important to gain some operating leverage around the growth spend. Perhaps one data point you could share is what percentage of the new car sales that you guys are generating are cross-sales from existing Lemonade customers versus new customers?
Tim Bixby: Yes, so I think, in terms of trends in the quarter, we saw more of our growth coming from cross-sells, more of our growth coming from Car. I think if you look at a couple of the metrics, you can see this dynamic. One is our multi-policy rate is increasing, and that's a dynamic that's not solely related to Car, but we're now heading toward almost 5% of our customers having multi-policy. In terms of the cross-sell aspect, something like half of our new sales are now coming of Car coming from existing customers, that's up. If you look back over a longer period of time, that would have looked more like a third. So still plenty of room to grow, but definitely an upward theme. So something on the order of half of those across those coming from existing customers. And 2.5 million to go, 2.5 and a half million less than the ones we have already. So it's a pretty deep pool and a much more efficient way to acquire new business.
Tommy McJoynt: Okay, got it. And then just the second one, the changes to the Chewy partnership, was that just the expiration of the warrants? Was that separate from what's going on with the business relationship? Just to clarify what happened there?
Daniel Schreiber: Sure. Yes, Chewy is all good news. The Chewy folks are terrific. We love everything they're doing and the partnership is humming along and generating tons of policies for us. We don't break it out for our reasons and their reasons in specific metrics, but it's going well. The contract that was terminated was a warrant structure. And so, we had going into the partnership with Chewy, we had a structure where we had the opportunity to pay commissions in cash for equity. Initially, we chose almost entirely equity for cash preservation reasons and optionality. And we determined over time, as we headed into the year, the end of year two of the agreement to switch that back to a cash structure. So we terminated just the warrant agreement. Everything else from a commercial perspective is steady and strong and continues.
Tommy McJoynt: Got it. Thank you.
Operator: Thank you. That does conclude our Q&A session for today and that does complete today's call. Thank you all for joining. You may now disconnect your lines.